Operator: [Operator Instructions] This conference is being recorded. [Foreign Language] [Operator Instructions] Good morning, ladies and gentleman, welcome to the NanoXplore Quarterly Earnings Conference Call. I would now like to turn the meeting over to Mr. Martin Gagne. Please go ahead, Mr. Gagne.
Martin Gagne: [Foreign Language] Good morning, everyone. And welcome to NanoXplore’s first conference call. Today I'm here with Soroush Nazarpour, our President and CEO; and Luc Veilleux, our CFO. We will start with our prepared remarks and then Q&A. Please know that our discussion will include estimates and other forward-looking information, which our actual results may differ from in the future. We invite you to review the cautionary language in yesterday's earnings release and in our MD&A regarding the various factors, assumptions and risks that could cause our actual results to differ.  With that, let me turn it over to Soroush.
Soroush Nazarpour: Thank you, Martin. And good morning, everyone. We are very happy to present our first conference call. This is an important step in NanoXplore history and should provide investors and analysts some valuable insight into our opportunities, operations and financial performance. At the outset, I would like to thank all our team members for the dedication and work ethic throughout this pandemic. It has been a difficult environment for everyone.  We're the largest producer of Graphene with 40% share at the lowest cost, which creates a strong moat for our company. Graphene is our lifeblood, and will and will provide more effective and better sustainable solutions in the future. Our material has very attractive attributes to improve the effectiveness of plastics and composites. It is the stronger than diamond lighter than steel while being flexible. Moreover, it conducts electricity better than copper has a strong barrier and lubricity properties.  In addition, it's a more sustainable material than carboxylates, which is an oil-based material. Case in point. One ton of Graphene production is a Cube Island to 0.4 ton of CO2 emissions, while Carbon Black is roughly three tons of CO2 emission. Our vision is to create a better tomorrow by providing innovative, sustainable products and solutions across multiple industries and application. One of the bigger problems for the lack of Graphene uptake in the past was the problem of mass production at low cost. With the help of our strong team here at NanoXplore and several years of engineering and testing, we were able to find a solution with our proprietary technology. R&D and Innovation is our strength. And we have one of the best R&D teams out there led by Nima Moghimian. NanoXplore believe that the unique properties of Graphene will enable numerous new products in thermoplastics, thermosets, other composite products and lithium-ion battery applications and the market for such products should grow at a rapid pace, creating significant market opportunities. We believe that the future's bright with a good opportunity to capture the piece of the 1.5 million ton of total addressable market of replaceable carboxylates. This ton excludes lithium-ion batteries. There is no doubt that the pandemic slowed down the Trajectory of Graphene adoption of testing of graphene enhanced product was not the priority for operations. procurement of raw material was difficult. COVID later plants shut down and labor shortage were factors were slowed down in adoption.  Since Graphene is a new material patience is required as product development, testing and finalizing deals can take four to five years with prospective customers. However, we have reasons to be optimistic about the future. First, we believe that we are on the cusp of an update or graphic that will provide more color on our customer funnel to give you a perspective of where we are in our journey. Currently, roughly 25% of our active sales funnel is in the mid to late stage, meaning that we could see activity within the next two years. Mid to late stage mean that you're seeing Graphene performance is validated in customer products. The remaining 75% means that the dealing testing phase and take between three to five years.  Secondly, we are enthusiastic about our relationship shipped with Solmax the largest geomembrane manufacturer in the world, and the Blanket Purchase Order was just signed last week. This validates the efficacy, potential cost saving, lower scrap rates and better sustainable footprint for Graphene has across. Geosynthetics the large US$10 billion market and growing to US$13 billion by 2026. This will be tens of thousands of tons of addressable market in the agricultural industry.  Thirdly, the supply agreements with more than products to produce and sell Graphene has sheet molding compound, SMC. Once again validates the Graphene efficacy of composites and battery packs, and it helps reduce part weight by up to 15% versus typical composite parts while also improving surface finish, paint ability and crack resistant. SMC without Graphene is a rocket surface, and by adding the Graphene in the composite, it smooths the Therapists path which enhance the quality of the paintwork. Graphene also acts as a physical barrier to crack propagation.  Furthermore, battery packs are heavy in electric vehicles. And by using Graphene and enhanced SMC, this helps reduce the weight substantially leading to an improved driving range. Lightweight composites are important for both internal combustion engine and electric vehicle. Countries are become more and more stringent on carbon footprint and having lighter ICE vehicles will help reduce CO2 emissions. According to the International Council on Clean Transportation, average new car CO2 emission would need to decrease by 15% by 2025 and 31% by 2030, relative to 2021 based on the European Green Deal roadmap. Consequently, a lighter vehicle is essential and Graphene could be the key to achieving this. On the electric vehicle side, typically heavier than internal combustion engines and Graphene have SMC should improve the range of the vehicle. Fourthly, we are in the earliest stage of looking at the second 4000 tons GrapheneBlack production module that we anticipate to be operational in early 2024. Finally, we are raising our revenue outlook to $90 million for fiscal year 2022 from $85 million previously announced and better pricing and better products mix. We’re exiting the quarter with an annual run rate of $110 million in revenue. And they're anticipating the adjusted dividend to be slightly positive in fourth quarter. We're optimistic about potential of our company and the positive impact Graphene will have in the future.  After several years of hard work and dedication, validating the efficacy of this product we're seeing signs that uptake is the hardest. Due to the earliest stage nature of Graphene because we could do business from lumpiness. However, we are confident that the long-term story is positive and well.  With that in mind, let me now turn the call over to Luc, who will comment on our financial results.
Luc Veilleux: Thank you, Soroush. And thank you everyone for attending this call. I will start by reviewing the Q3 results and will finish with the financial outlook for the full year. Let's start with the quarter-to-quarter performance. Moving from customer grew 52% to 28 million compared to Q2 2022 driven by a better product mix including Graphene enhanced product, the acquisition of Canuck in December 2021 and additional price increase.  Regarding the adjusted EBITDA, we saw a good improvement quarter-to-quarter and we adjusted EBITDA loss of 2.2 million which is a strong positive variance of around $1 million. That variance is explained by processes product mix and sales price increase, which impacted positively the gross margin on total revenue. Compared to the quarter of last year, revenue from customer grew 59% to 28 million explained by better product mix including Graphene enhanced product, the Canuck acquisition, new sales program and price increase. We recorded an adjusted EBITDA loss of 2.2 million in Q3 2022, which is a $200,000 improvement over last year, a better product mix, including Graphene enhanced product and pricing tree growth a better gross margin. This was partially offset by higher administrative expense, which is mainly expense is explained by the addition of strategic position and increase in salaries and the addition of Canuck can see as being used in plan.  Moving to the balance sheet. As of March 31, 2022, we have 263 million of liquidity available, including 56 million of cash and cash equivalents. Back in February 2022, we raised 30 million in gross proceeds, incentive for acquisition, partnership, and general corporate purposes. Finally, we would like to win with the financial outlook. We are raising the revenue outlook for the financial year 2022 to 90 million from 85 million previously announced. Regarding the adjusted EBITDA, we anticipate being slightly positive in the fourth quarter of 2022. Thank you. Martin Gagne, you can take over.
Martin Gagne: Yes, Luc. For this call, we only we will only answer questions from the Solmax’s analyst. Operator, we can now open the lines for questions.
Operator: Certainly. Thank you. [Operator Instructions] Thank you for your patience. The first question is from Amr Ezzat with Echelon Wealth Partners. Please go ahead.
Amr Ezzat: Hey, Luc, Soroush, Martin, thanks for taking my questions and congrats on your Inaugural Call. 
Soroush Nazarpour: Thank you. 
Amr Ezzat: My first one is on sales. I'm actually pleasantly surprised with the pace of sales from last quarter. And if I take Canuck out of the numbers, it seems like your sales grew $5 million from last quarter. Can you help us understand the dynamics there at a high level like how much of it is increases in pricing that you guys mentioned versus growth in Graphene enhanced product?
Luc Veilleux: Sure. So we are seeing, as you said about 5 million over Canuck, which is a mix of pricing fees and product mix, specially Graphene enhanced product. Now it's more difficult for us to separate the two from each other because some of the products that were previously not including Graphene, they are now including Graphene. So as a whole together, we're seeing 5 million increase in the top line.
Amr Ezzat: Okay, so I heard especially like Graphene enhanced products, I'll take that as a positive, then maybe related to that, like you just spoke to a new module for early 2024. So are we to assume that by the end of 2023, your capacity constrained? Or is that being built for redundancy, then maybe you could maybe tell us, like about the economics and costs associated with that module and view the inflationary pressures we're seeing.
Luc Veilleux: So in terms of the new capacity, we work with the forecast that we've seen from the customers, so within the forecast that they were receiving, we're seeing that we are potentially out of the capacity on a run rate basis by the end of next year. And that's the basis for setting up new capacity and new module for 4000 tons. So terms of CapEx and OpEx for the facility, it's pretty in line with in terms of OpEx is pretty in line with what we have currently. We see that the capital requirements is close to $20 million for setting costs at that facility in terms of order to receive of equipments. We're seeing a nine-month process. And also, we need a period of time to commission those equipments. So from the time that we start this, to have the module ready, it should be an order of 18 months of time we can get have everything done and in place.
Amr Ezzat: Okay, so you're starting now. So I assume like you've got the location picked.
Soroush Nazarpour: Yes. But we're -- at this time, we're not commenting on the location.
Amr Ezzat: Just another quick couple for me. Can you remind us how much Graphene with a two gigawatt to our facility require, at a minimum?
Soroush Nazarpour: Of a half hour battery application? 
Amr Ezzat: Yes. 
Soroush Nazarpour: Yes. So it depends definitely to the formulation that the customers are taking. Some rule of thumb is like, about 1000 tons Graphene gigawatt hour of battery. But again, that can vary depending on the winning formulation and the amount of graphite that's going to stay in the app -- because we have formulations, which are 100% Graphene, and we have for formulation, that Graphene is only an additive on the graph. So you can pick a middle line from like a 40%, 50% Graphene. And then you can assume that 1000 ton of Graphene consumed for every one hour of battery production
Amr Ezzat: With minimum two. Then lastly, like how is the board thinking about capital allocation and the best uses of cash on your balance sheet?
Luc Veilleux: Yes, so the priority for us as a Graphene company to enhance their commercial activities and the profits coming from the Graphene. So the capital allocation has always priority for initiatives that brings more sales and more profits from our Graphene activities.
Amr Ezzat: Okay. So it's going to be invested for Graphene, as opposed to something on the battery side.
Soroush Nazarpour: Yes. In as we disclosed in the battery day, and I've heard does not intend to participate in the upcoming financing of VoltaXplore, and VoltaXplore will finance the capital requirements for the developer facility by itself.
Amr Ezzat: Fantastic. Congrats on a strong quarter, and I'll pass the line.
Soroush Nazarpour: Thank you.
Operator: Thank you. The next question is from Rupert Merer with National Bank. Please go ahead.
Rupert Merer: Hi, good morning, everyone. Thanks for taking the questions. 
Soroush Nazarpour: Hi, Rupert.
Rupert Merer: So Soroush gave us a little color on your funnel. Wondering if you can give a little more color. How many companies are in that funnel? And if I look at the 25%, that's mid to late stage, what are the companies look like that are in that market? What markets are they in? What's the market potential you see in that late-stage pipeline?
Soroush Nazarpour: So we have a self-sales of north of 200 companies. So 25% is about 50 companies or more at late stage. They are winning many different markets. But there are common points. So we're seeing quite a lot of interest and success when it comes to Graphene and it has plastics, both thermoplastic and thermoset. Like both masterbatch application and also composites. The applications for those products are in different segments, a lot of industrial applications we're seeing. They're seeing interest in the pipe market; we're seeing interest in agro agricultural market. Transportation has been pretty strong and continue to be strong in our sales funnel. There are some more application as well as those looking at which are we're seeing success as well in our account a little bit earlier stage, but it's still good thing some success. And those are more of a big win’s type applications, those paints and coating markets. But, the applications of Graphene really varies in a lot of different markets and the basic fundamental material in them are similar thermoplastics but it goes to different applications.
Rupert Merer: Great. So you've announced a couple of new customers over the last week if there are 50 companies that are late stage and you're looking at, say, one to two years to bring late stage to market. So should we expect a cadence of new customer announcements that something like that one every two weeks.
Soroush Nazarpour: The reality is, we are in general not really supporting the press release of the customers. And we are, we're announcing only the very important customers. We're just not going to announce every customer that puts appeal and start buying products from us. But these announcements that are reasons behind them, and they are very diverse in terms of the market that the customer is addressing. Again, they serve the purpose of proving and showing the product is validated, is getting commercialized and those new applications, but we're in the same market, and we are dealing with different customers in the same market, which is not going to preclude everything. So, but in terms of commercial interest, as discussed, we have like 50 accounts that are during the late stage. And we'll see activities within the two years per year from now.
Rupert Merer: Here's one more follow up on this topic. So you mentioned you won't announce all of the customers, does that mean that there are some customers that you're advanced with that you have today that hadn't been announced?
Soroush Nazarpour: Can you repeat the question?
Rupert Merer: Are there some customers that you are more further advanced with and you have contracts with it yet? They have not announced yet? Because of the variances you discussed? Yes. Okay. 
Soroush Nazarpour: Yes, it's smaller customers or smaller accounts. We're not going to precede them just only the ones that are large, and the ones that are in the new markets. And they haven't very good potential in terms of total addressable market. That's that those are type of customers we tend to present.
Rupert Merer: Good, and then secondly, steel with Molding Products. Now it looks to me they're so they're going to be selling their SMC to that to their customers, how are you going to work with them to help develop the market? I imagine they're going to have their own sales funnel that they may need some help developing.
Soroush Nazarpour: Yes. So, Molding Product is existing partner of the company and they are a supplier to our business already. So, that was the beginning of our relationship, as we saw quite success and introducing graphs and into SMC for commercial vehicle space. They are a partner for us first to use those products and our internal operation for those commercial vehicle end markets, but they have a very decent exposure to transportation let the passenger vehicle market as well to residential market. So they can actually get the proven product and expand the reach to new markets which we are not directly active.
Rupert Merer: Right. And will you support them with their market introduction plans?
Soroush Nazarpour: For sure. I mean, the product is branded as not an explorer product or not as for SMC product? And definitely, the fact is, customers in various markets tend to reach out to the graphing supplier. I mean that they reach out to us first, and we bring partners to help us to commercialize products. For some application, it's a big supply chain, multiple steps and we cannot be active in all the steps. That's the time that we bring these types of partners to help us to bring the prior to the end -- as in end market. So yes, we will support them in in marketing. It is also similar case for the Solmax, we will call market the product with them.
Rupert Merer: Great. I'll leave it there and get back in the queue. Thank you.
Soroush Nazarpour: Thank you.
Operator: Thank you. The next question is from Michael Glen with Raymond James. Please go ahead.
Michael Glen: Hey, good morning. And like others, thank you for starting to host these calls. Just first on the on the EBITDA, the positive EBITDA in Q4 slightly positive EBITDA in Q4. So, is this something you view as a sustainable outcome moving forward or should we still expect to see some quarters with negative EBITDA?
Luc Veilleux: So the trend is positive for us for sure. And as a rule of thumb, our Graphene has product provide a better that gross margin than non-Graphene products right. So as much we move the products to more Graphene enhanced product and as much we still Graphene and Graphene has masterbatch pellets to the end users, that changes the product makes expand the gross margin and accordingly expand, improve the EBITDA position of the company. Now, we as disclosed in my remarks, we definitely see some lumpiness going forward. But the trend for our financials is toward a positive EBITDA, and hopefully, positive cash flow in the next few quarters. Now, we will provide the guidance for the year at earning call for the year end, which is sometime in September, and you can get a better view of how the EBITDA is expanding, but we believe this trend will continue.
Michael Glen: And for the for the current 4000 metric tons in place, are you able to indicate how much volume you're producing off of that module? Right now?
Luc Veilleux: We're not disclosing the information about the Graphene or any size of our business separately.
Michael Glen: Okay. And for clarification, on the timing for the new module, potentially you say potentially out of capacity by end of next year. Are you talking calendar year end 2023, or fiscal year end? 2023?
Soroush Nazarpour: We're talking calendar year.
Michael Glen: That's calendar year end. Okay, and then unmolding products. So if we're to think about the end market there, and your largest shareholder Martinrea, how should we think about the way you approach the automotive or passenger car market when you do have a large shareholder? who's selling into that market as well? Like how do you divide over what your partner. What you'll partner with on Martinrea versus what you'll what you'll pursue with other companies.
Soroush Nazarpour: So, we have business with the OEMs through Martinrea, we have business with the OEM directly without material being involved. And also we have business hopefully, with the Passenger Vehicle OEMs to Molding Product as well. So first and foremost, Martinrea as the largest shareholder of the company, really supporting the growth of the business, right. So, the way we have been a developing product with them has been to support to support the commercial success in the company for Graphene products, regardless of the type of product and application.  Now Martinrea was active in a few applications in the passenger vehicle space. For fuel system and brake lines, we have a joint product with them. They are active in the structural metal application that really, we don't have any content in that sense. We also have products for we also have products for exteriors, which is in trucks and buses, they are more composites while in passenger vehicles are more aluminum type applications. So there's, there's, there's I would say it's more complimentary than cars competitive with them.
Michael Glen: Okay. And last one on my sides, can you just provide some indications as to how the outlook for Gerdau is. What Gerdau is doing with respect to Graphene, where their focal points are? If you could discuss how that relationship is evolving?
Soroush Nazarpour: So we are -- unfortunately, we cannot disclose more about what they are doing because it's not confidential information of the customer. We know that the customer, Gerdau, is looking at applications in construction market. And as well, they're looking at applications for internal use within the Gerdau. And we're adding supply we're providing products for them and continue to do so.
Michael Glen: Okay. Thanks for taking my questions.
Operator: Thank you. The next question is from Marvin Wolff with Paradigm Capital. Please go ahead.
Marvin Wolff: Yes, good morning, Soroush, and congratulations on having your first conference call off on a quarterly basis. I think is a really great idea. A lot of my questions have been answered. But I just wanted a couple of clarification points. Number one, the CapEx you talked about 20 million for point number two, I assume that US dollars, is that correct? 
Soroush Nazarpour: Yes. 
Marvin Wolff: And also, to what degree can you stretch the capacity of the current plan? I mean, it's 4000 tons, nameplate. But can you stretch that 4500? Or, I mean, you've been running it now for what? Year and a half, two years. Any color there?
Luc Veilleux: Yes, we have about 25% design already. Engineering Design already included in there. So the capacity can be stretched within the same Quebec to buy another 1000. But that's really stretching the Quebec and then bring extra chance of downtime for our equipment and the shutdown. So if we have also space in our facility, as we decide to expand the building, you can actually put more capacity in there as well, but that requires extra CapEx but the same existing facility that we have, can really be a little bit more and bring profit 25% more capacity.
Marvin Wolff: Okay, one other quick question. With respect to the long lead equipment, you mentioned, it's nine months. Have you ordered any yet?
Soroush Nazarpour: We can’t disclose that information. 
Marvin Wolff: Okay. I should put a spy down there and see some trucks coming and going. Anyway, thanks a lot, Soroush. Congratulations again. 
Soroush Nazarpour: Thank you.
Operator: Thank you. [Operator Instructions] The next question is from MacMurray Whale with Cormark Securities. Please go ahead.
MacMurray Whale: Hi, just a quick question on the guidance given the strength in the Q3. Doesn't the guidance imply sort of a down quarter in terms of sequential revenue in Q4? What might be the dynamic there?
Luc Veilleux: Yes, but that's also there's a big chunk of product mix in that, right. So product mix can change the revenue and it can change the gross margin. That's why it may look like lower quarter in terms of sales. But also we are we are guiding for expanded EBITDA, right. So again, this is the product mix that makes difference in terms of the Q4 results.
MacMurray Whale: Okay. So in terms of modeling, that we should be looking at our backs expenses just sort of flat so that that difference is really flat sequentially. So the difference is really all gross margin.
Luc Veilleux: Yes.
MacMurray Whale: Okay. And that's just sort of related to that. Just wondering whether you can share, I know you don't want to go into details about volumes and that type of thing, but maybe on your cost per ton that you've talked in the past about reaching, where are you in getting there? I know you're not at 100% capacity utilization, but it would be helpful, I think, just to understand where you are in that and whether you've changed anything given sort of inflation in the industry and feedstock pricing and that type of dynamic, can you can you talk a little bit about cost per ton and long-term expectation for that.
Soroush Nazarpour: Yes. We are in line with the feasibility report that the published in 2017 is stating. We are still seeing at the low few dollars per kilo of costing again in line with our with our visibility at the full 4000 on run rate, so no difference in that point. In terms of inflation, we are exposed a lot to the graphic pricing and the variation of the graph and price really versus the selling price has been very marginal. So we don't see that much of price inflation in the graphite. We believe we are currently on an oversupplied graphite market accordingly the price variation even though resistance but it has been non-significant for our business because majority of the graphite is converting into Graphene. So of course, there's you know, some wage increases in in the production but again, those of you that have been in our facilities that are very little employees are actually working inside production is very automated. So you also don't see much of a little impact there.
MacMurray Whale: You mentioned in the past actually about getting people in, I think in the MD&A. You talk a little bit about having to find people who are a little bit of a challenge is that has that eased? Is that what are the what's the dynamics on the on the labor side?
Soroush Nazarpour: It has -- it is still challenging to get labor, of course, we have multiple location and they are experiencing different labor market shortage, like in our facilities more in Quebec City area, we are seeing more aggressive labor market, though it is much harder for us to get labor. It's slightly better in the Montreal area, for instance. But in general, we are seeing pretty much everywhere that there are challenges in the labor market, wage increase is happening and an inflation is impacting the wages. But we are trying as before, we're trying to continue looking at automation everywhere, that is realistic, and we can do that to reduce that impact.
MacMurray Whale: Great. Thanks, Soroush. Thanks. That's all my questions. Thanks.
Soroush Nazarpour: Thank you.
Operator: Thank you. The next is a follow-up question from Michael Glen with Raymond James. Please go ahead.
Michael Glen: Hi, Soroush. Just wondering if you could give an update on Techmer? Are you able to indicate whether or not they were working towards a recall some sort of specific application? Are they out in the market with that product yet? Or when would we expect to see that actually in the market?
Soroush Nazarpour: Techmer is it is one of the customers that we work with Techmer is within our like, six sales funnels. They are continuing, they're focused a lot on a few markets. The most important one is that consumer packaging market and we're seeing quite decent amount of success. Now, converting that to tangible revenue, I think we're still a few quarters away. But the commercial activities are already started. And it's progressing.
Michael Glen: Okay. And just to come back on the on the Molding Products. One of the one of the applications you talk about in there is the battery enclosures. So if I'm thinking of a battery enclosure, it's a multi material steel, aluminum, heavily engineered item. And I'm just, it's just somewhat surprising to hear what you talk about use of Graphene and a composite in that sort of structure. Is there is there any issues with respect to temperature in that environment that prevent composites or plastics to be used in a in a battery enclosure?
Soroush Nazarpour: Actually, just the other way around that we're seeing a very noticeable trend for OEMs. And both passenger cars and heavy commercial moving toward composite battery packs down metal battery packs. Now, of course, there would be hybrid solutions to start with, which is a mix of aluminum and composite. But the trend is to make the dimension of the battery packs very standard and get to the composite with high volume production and low cost and also get the weight down which is significantly lower. Now, you mentioned about the cooling, majority of the cooling that's needed inside the battery packs are not coming from the material selections coming from active cooling system like air ventilation inside the battery. Okay, so that's again agnostic to the type of materials
Michael Glen: Okay, thank you.
Soroush Nazarpour: Sure.
Operator: Thank you. There are no further questions registered at this time. So I will turn the meeting back over to Mr. Gagne.
Martin Gagne: Thank you. [Foreign Language] I would like to thank everyone for attending this call and we wish you a great day. You can now disconnect.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.